Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to Ovintiv's 2020 Third Quarter Results Conference Call. As a reminder, today's call is being recorded. At this time all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. Please be advised that this conference call may not be recorded or rebroadcast without the expressed consent of Ovintiv. I would now like to turn the conference call over to Steve Campbell from Investor Relations. Please go ahead, Mr. Campbell.
Steve Campbell: Thanks, operator and good morning, everyone. Thanks for dialing in today for our third quarter call. Let me remind you that this call is being webcast and the slides are available on our website at Ovintiv.com. Please take note of the advisories regarding forward looking statements at the end of our slides and in our disclosure documents filed with SEDAR and EDGAR. Following our prepared remarks, we will be available to take your specific questions. Please limit your time to one question and one follow up this just allows us to get to more of your questions on the call today. I'll now turn it over to our President and CEO Doug Suttles.
Doug Suttles: Thanks, Steve, and good morning, everyone. And thanks for joining us. We have a lot of strong results to share with you today. And following our prepared remarks the leadership team will be available to answer your questions. As you can see from our release, we posted very strong third quarter results. This solidified our key deliverables for this year 2020 and provides us with high confidence in our 2021 plan. We delivered free cash flow this quarter and made a meaningful reduction in our net debt during a very challenging time for our industry. Our results are direct result of capital discipline and a relentless focus on innovation to drive efficiency into every part of our business. We have been very clear on how we are running the business through the end of 2021. And today, we will be providing some additional clarity that is consistent with this framework and reiterates our priorities around debt reduction in capital allocation over the long-term. In the third quarter, we generated total cash flow of $398 million and free cash flow of $47 million. We reduce net debt by $217 million and maintain substantial liquidity of $3.1 billion. We are relentlessly driving down costs and our track record of innovation really sets us apart. As of the end of the quarter, we achieved our goal of cutting more than $200 million in costs for 2020. Most of these savings will be durable and we will also benefit from an additional $100 million of savings as legacy costs expire, bringing the total 2021 savings to $300 million. Our teams have done an incredible job of reducing well cost. We've improved on our already best-in-class operational performance. We have already achieved our target for a 20% reduction in drilling and completion cost. Greg will cover this in more detail, but these efficiencies are expected to stay with us through the cycle. Well performance has been strong and we beat our third quarter crude and condensate guide of 180,000 barrels per day. And we are confident that we will average 200,000 barrels a day in the fourth quarter and next year. In fact, we're already at 200,000 barrels a day here in October. Despite all the challenges that 2020 is thrown at us, we are set to achieve our third consecutive year of free cash flow generation. Our debt was down over $200 million in the third quarter and we expect a similar reduction in the fourth quarter. Our full year capital budget is now expected to be just under $1.8 billion, which implies fourth quarter CapEx of less than $400 million. Our full year investments will be down $900 million compared to our budget. Our completion operations have resumed. And we have largely worked our way through the duck inventory that we built to the first half of the year. We expect to end the year with a typical number of ducks approximately 30. Unit costs continue to trend lower. In the fourth quarter, we expect slightly lower per unit cost when compared to the third quarter, with our total cost projected at about $11.70 per BOE. One of our most impactful achievements is the cost cutting that came from every part of the company. We have achieved more than $200 million of cost savings in 2020, and next year we expect that to grow to $300 million. The value of our risk management practices has once again been clearly demonstrated. Our dynamic hedging program protected 2020 cash flow and enhanced margins through what has been an incredibly volatile commodity price environment. In the fourth quarter, we have hedges in place for 180,000 barrels a day of crude and condensate, or about 90% of our volumes. And we expect to see strong price realizations across all our products. So now I’ll turn the call over to Greg to cover our operational highlights.
Greg Givens: Thanks, Doug. Today we're providing new and lower well cost forecast in each of our core areas. We've updated the slide throughout the year to show our constant progress and our pacesetter results in each of the plays. As you can see in our 2021 well cost estimates table, we continue to meaningfully drive down our drilling complete costs. When compared to last quarter, we’ve reduced cost $400,000 in the Permian, and $200,000 in the Montney. In the Anadarko, our costs are now more than 40% lower than Newfield's average costs at the time of the acquisition. Well costs that were $7.9 million about two years ago are now $4.6 million. As a result of these improvements our 2021 well costs will be at least 20% less than our 2019 actuals. In the Permian, we've seen significant improvement since the second quarter. Costs were about $500 per foot or 9% lower. Our pacesetter wells came in at $430 a foot. This was one of our best quarters ever. And the good news was distributed across Howard, Midland and Martin Counties. Our well cost reductions are highly durable through cycle. They're mostly related to our own unique innovation and process changes, not simply lower service costs. We know that our operational achievements are being recognized by investors, we've been getting lots of questions recently about how we're able to continually take costs out of the system, while delivering strong well results. At the heart of this achievement is our culture of innovation, and our multi-basin model to shift ideas and technology rapidly across our portfolio. Constant innovation in our abilities to significantly lower costs have been critical to our development plans. We have not up spaced wells to generate a short-term boost at the expense of future inventory. Our cube development model is the right approach. And our operations in the field are differentiated. We use our cube development model to maximize the value of our acreage. And in each of our core areas today we have over a decade of inventory. In the Permian, we continue to see great results from Simul-Fracs completions, providing up to $400,000 per well in savings. We have a track record of rapidly moving good ideas throughout our portfolio and are now using Simul-Fracs in the Anadarko and the Montney. In the Anadarko, we've seen big decreases in our cost and remain confident that we can continue to find innovative cycle time enhancements, the use of wet sand in our completions has been successful, all of our fleets are now pumping wet sand. In addition, we continue to see the benefit of self sourcing chemicals. Our sprayer results have continued to show good cost reductions as well. In fact, we have recently achieved four of the five fastest wells drilling the play today. We are averaging over 20 hours of completion pump time per day in the basin, which is significantly above historical base and performance. In the Montney, we achieve record low drilling costs of under $1 million per well, and we completed our wells in about two days. This is half of the time it took in 2018. These efficiency gains are the result of relentless innovation and attention to detail and will stay with us regardless of commodity prices. We've also started up our Pipestone Processing Facility in the Montney five months ahead of schedule. Making it our fourth large project brought in ahead of schedule and add our under budget costs in the last three years. This is resulting in lower pressures in the gathering system. And the startup does not require any new drilling to satisfy the capacity arrangements. I'll turn the call back to Doug to talk more about 2021.
Doug Suttles: Thanks, Greg. We have been delivering on the new E&P model for several years. Going forward we are focused on four priorities. We are laser focused on debt reduction. 2020 will be our third consecutive year of free cash flow generation. And as we have stated all available free cash will go to debt reduction. Our plan will reduce our debt by at least $1 billion from the second half of 2022 through year-end 2021. Second, we know the importance of maintaining scale and position our company to thrive when demand for our products returns. We can hold 200,000 barrels a day of crude and condensate production with an annual investment of $1.5 billion. This screen’s as one of the best capital efficiencies in the E&P sector today. Third, we see our cost reductions and newly generated efficiencies is durable. They will stay with us even after oil prices recover. Our teams have done a great job of safely reducing costs this year and their hard work as a setup for a very strong 2021. Finally, we’ve remain committed to returning cash to our owners. We have a track record of doing so, it's how we have been and are running the company. Our near-term focus on reducing debt is the best value-add for our shareholders today. Our multi basin portfolio provides exposure across the commodity spectrum. Although our focuses on crude and condensate, don't forget that we produce a lot of gas with 1.5 billion cubic feet of gas per day of gas production. A small moving gas prices makes a big difference in revenues and cash flow. In fact, a $0.25 increase in gas price is about $100 million dollars of incremental cash flow. We have the key of ingredients for differentiated value creation on the road ahead and our priorities are crystal clear. I'll now turn the call over to Corey.
Corey Code: Thanks, Doug, we've been very clear on how we're going to run the company out to the end of 2021. And today, we're providing a longer term framework consistent with [indiscernible]. Our business is capable of generating significant free cash flow in the near-term. We estimate $800 million of free cash next year. We're confident that our plan will lower absolute debt and reduce our leverage. We expect to reduce our total debt by more than $1 billion from the second half of 2020 through year-end 2021. Again, all excess free cash flow will go to debt reduction. Over the longer term at mid cycle conditions. We believe that a leverage ratio of 1.5 times net debt to EBITDA or less is the right aiming point. Consistent with the new E&P model that we've been operating under for almost three years now, we are formalizing reinvestment rate as well. We expect to reinvest 75% or less of our cash flows, providing significant free cash for shareholder returns. We believe a secure dividend is a key part of the new E&P model. And you have noticed that despite conditions in 2020, we’ve remained committed to our dividend. As we've outlined before, our 2021 scenario equates to a reinvestment rate of less than 70% of cash flow. This reinvestment rate for 2021 is at or below many of the levels recently announced by our peers, which speaks to the quality of our assets and our cost structure. I'll turn the call over to Brendan to discuss ESG.
Brendan McCracken: Thanks, Corey. Our approach to innovation applies across all aspects of our business. We're an industry leader in ESG performance and reporting. However, we recognize that investors are seeking increased transparency, more consistency, and continuous improvement from our sector and from our company. Since we began publishing our sustainability report 15 years ago, we've consistently disclosed our ESG performance and we've continued to evolve our report to meet stakeholder expectations. We're on track to incorporate emissions-related performance targets in our 2021 compensation program. We know the importance of ESG to our stakeholders, we know the power of setting targets, and we have high confidence in our ability to drive performance gains. We're also playing a leadership role in industry to encourage greater transparency and consistency of reporting. We've been taking actions to reduce our emissions through operational efficiencies and innovation for many years. And we're pleased to report that just like our efforts to drive down well costs, our team is also driving reductions in emissions, as demonstrated by our results on methane intensity and flaring. I'll now turn the call back to Doug.
Doug Suttles: Thanks, Brendan. We have been at the forefront of the shift to this new E&P. We have been describing our approach and delivering on this model for the last several years. Before opening up to your questions, I'd like to highlight a few things that we've mentioned today. We know the importance of debt reduction. We have laid out a plan for significant debt reduction in the near-term driven by free cash generation. We also know how important it is to maintain scale. We have put a lot of thought into our scenario. And we now have made significant progress on demonstrating the performance that underpins that plan. We continue to make incredible progress on driving efficiency. This is not a trend that is slowing down for us, but it is driven by our culture. And finally, we know the importance of returning cash to shareholders. And we have a strong record of doing this. Since 2018, we've returned more than $1.7 billion through dividends and buybacks, while many canceled or cut dividends early this year we maintained ours. We believe this is important to our shareholders. Today, we believe the most effective way for us to return value to our shareholders is to reduce debt and that's where we're focused. Earlier this year, we committed to including key emissions related performance targets in our compensation program in 2021. And we are on track to accomplish that. This is for the good for the environment and it's good business. Recent consolidation in our sector is validating our strategy. We have the proven ability and scale to drive leading efficiencies and generate significant free cash flow. Our high quality multi basin portfolio and sophisticated risk management are differentiated. These ingredients comprise the new E&P model, when coupled with our world-class operations. It's a powerful combination. So thanks for listening. And now we'd be prepared to take any of your questions.
Operator: [Operator Instructions]. We will now begin the question and answer session and go to the first caller from Arun Jayaram at JPMorgan Chase. Please go ahead.
Arun Jayaram: Yes, good morning. I have a couple of questions on the updated free cash flow guide and deleveraging target. Doug, the strip has moved against a little bit in terms of oil. So my first question is what does the free cash flow and deleveraging outlook look like if we were to dial-in the current strip versus the $45.03 deck that you used?
Doug Suttles:
,:
Arun Jayaram: Fair enough. And just my follow up here is, you mentioned that the cost structure on a per unit basis is $11.70 per BOE, you'll get called another $100 million or so kind of tailwind next year. But any thoughts on the per unit cost structure as you're moving in into 2021? Could we use $11.70 in back off maybe $100 million of savings on that as maybe a starting point?
Doug Suttles: Yes, that that 100 comes in a number of areas because a piece of that is related to [indiscernible] which we Greg didn't mention but he and his team successfully abandoned that project through COVID. No one got sick and we executed it under budget costs so some of that's going to cost rolling off next year. [But really] costs will be lower than that the only thing you'd have to adjust for is production related taxes, tied to price, but these need to go only one direction. And that's down. And it's really driven by innovation. And I'm confident we'll get that lower as we go into next year.
Operator: The next question comes from Jeanine Wai at Barclays. Please go ahead.
Jeanine Wai: Hi, good morning, everyone. Thanks for taking my call.
Doug Suttles: Hi, Jeanine.
Jeanine Wai: Hi, good morning. My questions are on the reinvestment rate. And on the new expected long-term cash flow reinvestment rate of less than 75%, can you just talk a little bit about how this could vary at different commodity price scenarios? And then I guess my follow up is, when does this capital allocation framework become more rigid? And I think the qualifier here is that it's a long-term investment rate? I know you've provided a lot of great clarity through 2021. So does this really kick in? Is it like 2022 or is it more like 2025 or so we're just looking for a little bit more detail? Thank you.
Doug Suttles: Yes, Jeanine, I think -- well, first of all, I think you guys can you can all, run your models on this, but, but next year, we would be investing below much below the 75% because what we've said is our priorities are holding our scale and essentially what is now today's project rate, and then generating significant free cash and focusing every bit of that on our debt reduction and of course 75% allows a lot of it allows at least 25% of our cash generation to go to shareholder returns but it also when it's lower than that creates other options but those other options aren't on the table today. I mean for instance you wouldn't even consider going back to growth until we get our debt and are confident we've got our debt where we're looking to get it to and we're confident that demand for our products is returned and will begin to grow but what this does hopefully give everyone some insight into is how we'd run the business as the markets begin to stabilize and return and once we've got our debt down to the levels we're targeting today and what we're really demonstrating is what we've done for three years which is we're not going to take all of our cash flow and invest it back into the business as a capital program to grow volumes.
Jeanine Wai: Okay I guess maybe just following up on Arun's commentary on the strip kind of moving against everybody right now. So I guess if the strip holds and that less than 75% reinvestment rate are you willing to just let production decline and all of that in order to stick that number? 
Doug Suttles: Yes, Jeanine I think it all depends on how we see the market developing. I mean if we wind ourselves back not that many of us want to remember what it was like back in March and April there was all sorts of conversations going around about oil being $20 or less forever and other things and we just needed one get into action quickly by pulling capital back and buy time to see what the markets were doing and then just accelerate efficiency improvements. If we end up in a world like that we can and will reconsider those things but I think the other piece of information which is important is as we've said we could maintain 200,000 barrels a day and generate free cash flow more than enough to cover our dividend all the way down to 35 and 275. So I think it's a bit hard to speculate and I think it's a bit early to be believing that the strip is actually right for next year because right now it would be lower than 2020 prices which feels a little unusual but we will act. We'll protect the balance sheet. We do want to protect the scale of the business but we will protect the balance sheet and we have the ability to be dynamic if that's the case. 
Operator: The next question comes from Brian Singer at Goldman Sachs. Please go ahead. 
Brian Singer: Thank you. Good morning. 
Doug Suttles: Good morning Brian. 
Brian Singer: Doug, I want to pick up on the comments that you made at the end of your prepared remarks on consolidation. It seems to be taking the view that you have the appropriate level of scale for desired execution. Other companies appear to be sending a message via their consolidation announcements that greater size and scale are needed to be competitive. You highlighted in your remarks risk management, multi-basis and portfolio. Can you talk more to what you see as the reasons for this difference and how you expect that Ovintiv to translate into differentiation whether it be in financial metrics well performance inventory longevity, etc? 
Doug Suttles: Yes. Thanks Brian and I've talked about this many times over the years that we believe that even in the heyday of the pure play model and others that ultimately to be successful in a commodity that's going to see low growth globally and volatility is going to be a feature that a few things were going to matter. The companies had to have scale we believe that somewhere around half a million BOEs per day maybe that number changes but many of the transactions you see have seen have been trying to get to that scale because many of those companies were much smaller than that. You need that for a number of reasons. Organizational efficiency, cost structures, ability to apply innovation. We thought multi-basin was always a key it's a part of risk management. We're also demonstrating the value of being able to move ideas around in real time. I mean in every basin we're in we're a low-cost leader that's not by accident. I think other skills I think this risk management approach is key. We've all seen that in spades more recently and that's everything from things like how you think about protecting your balance sheet and cash flows with hedging programs to how you actually do transportation and processing of your products. Many people even recently have been caught by that and those uncertainties and this model works. So we think we're there. We think we're where we need to be and we're very clear the best way to create shareholder value for our shareholders is continue to execute incredibly well and actually reduce our debt and that's where our focus is today and we think that will make us very competitive going forward. 
Brian Singer: Great. Thank you and my follow-up is with regards to natural gas you highlighted the price exposure in the portfolio. Is there a situation and you've been asked a couple times here about strip price and strip oil price scenarios but natural gas prices on a current and strip basis are pretty healthy. Is there a scenario where you shift capital out of some of the oilier plays and into the natural gas plays and what would be your priorities there in terms of what it would come out of and what it would go, where would go in within the portfolio?
Doug Suttles: Yes Brian I mean the great thing is we do have that optionality in a number of parts of the portfolio but obviously more particularly up in the Monteney where we have everything from very high liquid yield condensate wells to almost to dry gas that are very highly productive. So we have that optionality. For us to do that it would take more than just strengthen the short-term strep. It takes a more fundamental view of it but as I mentioned we still get the benefit of that one and a half BOEs a day in that exposure. I don't think we've yet seen enough movement beyond ‘21 to really justify moving a lot of capital and we do have some concern about in particular what the private actors are going to do here with the movement in the strip and how they might throw capital in which could create longer term risk on gas prices but we have that optionality but today we're not pulling on it but we continue to monitor it. If we continue to see demand growth and exports grow and strengthen the longer portion of the curve we could always go there. 
Operator: [Operator Instructions] The next question comes from Asit Sen from Bank of America. Please go ahead. 
Asit Sen: Thanks. Good morning. Doug appreciate all the details on 2021 scenario and particularly on $1.5 billion CapEx. I think you provided a rig scenario on your slide 16. Just following up on that if I'm thinking about Permian completions in 2021 with a $25 to $30, 30 completions per quarter with good run rate to use? I know you're early in 2021 planning scenario but just completion cadence wise what should we think about Permian and Permian as a total? 
Doug Suttles: Yes. Let me let Greg answer your question there. Thanks. 
Greg Givens: Sure. So generally our capital allocation will be similar as it was this year with probably a heavier focus on the core assets. So Permian will be somewhere in that 25 wells a quarter I think would be a decent average for you to assume. 
Asit Sen: Okay and Permian would be probably let's say 40% of overall completion 45%? 
Greg Givens: Somewhere in that ballpark again we're still working through all of our final budgeting assumptions and the good thing is we've got lots of different ways to get to the 200,000 barrels a day next year and so we're still working through that but I think your estimates are in line.
Operator: The next question comes from Neal Dingmann at SunTrust Securities. Please go ahead.
Neal Dingmann: Good morning. Thanks for taking my question. Could you all speak to the 21 DUCs you mentioned kind of for the end of the year I know you talked about the 30. Why I ask is obviously you all are very active this quarter with around those 70 DUCs completion I'm just wondering do you envision building going ahead and building more DUCs next year then that knocked them out at the end of the year or was this year unique given prices earlier in the year? 
Doug Suttles: Yes Neal you really got it right there. I mean we as a company don't find it capital efficient to build DUCs. It was a little unique this year obviously with what happened in 2Q but normally we keep it that around 30 is usually what's in the portfolio just at our current pace of development and that's what which you should expect us to have coming out of this year and right now as Greg mentioned we're in the final detail planning for next year but the program looks incredibly level loaded actually beginning essentially with this quarter 4Q. As I mentioned we're already at that 200,000 barrels a day which is what we said we're going to be at next year. We think that's basically flat through the year and the cadence of drilling and completions will be pretty flat as well as we go through the year but of course if we have a macro movement in the commodity downward we'll look carefully at that and figure out how best to respond. If the commodity goes up we'll just reduce that even faster because we're not going to move off the 200,000 barrels a day. 
Neal Dingmann: Okay. Great details there and then just one follow-up on your how you think about your inventory depth and drilling plan and I guess I'm just wondering is the reason for your diversified DNC plan I know what about three rigs I think you mentioned Permian two and [indiscernible] the reason for the diversified plan just the looking at the amount of inventory you have in each or are there other factors that sort of go into this? 
Doug Suttles: Yes Neal one of the things we think it's all about a big piece of it's about risk management that the good news is we built a portfolio which delivers similar returns on capital in each. They get there in different ways but they get to similar returns so by distributing capital across the portfolio we actually don't put, we don't degrade returns in doing it but what it allows us to do is avoid risks that many times are hard to predict. Historically they were think about the Permian not too long ago when it was short pipe capacity to get product out of the basin. You remember not too long ago there were some issues in Canada with [acreage]. Now there's a dialogue and some concern about federal acreage. So these are examples of risks why you have a multi-basin portfolio but I think it's critical that you not see degradation of returns as you allocate capital across it. So we think quite carefully about that and in some areas for instance the Montanes of classic were actually the amount of condensate crude and condensate was lower than some of the other areas but they're also very inexpensive wells have low royalty rates and actually right now we're getting paid more than WTI pricing for that product but that's why we do it Neal but it doesn't cost us in terms of returns.
Operator: At this time we have completed the question-and-answer session and we'll turn the call back to Mr. Campbell. 
Steve Campbell: Thank you operator and thank you everyone for your interest and your investment in our company. We look forward to seeing you soon. Have a great day. 
Operator: Ladies and gentlemen this concludes your conference call for today. We thank you for participating and we ask that you please disconnect your lines.